Faten Freiha: Good morning. This is Faten Freiha, VP of Investor Relations. Thank you for joining today's Fourth Quarter Earnings Call. To accompany this call, we posted a set of slides on our IR website, ir.mccormick.com. With me this morning are Brendan Foley, Chairman, President and CEO; and Marcos Gabriel, Executive Vice President and CFO. During this call, we will refer to certain non-GAAP financial measures. The nature of those non-GAAP financial measures and the related reconciliations to the GAAP results are included in this morning's press release and slides. In our comments, certain percentages are rounded. Please refer to our presentation for complete information. Today's presentation contains projections and other forward-looking statements. Actual results could differ materially from those projected. The company undertakes no obligation to update or revise publicly any forward-looking statements, whether because of new information, future events or other factors. Please refer to our forward-looking statement on Slide 2 for more information. Lastly, I'd like to call out that we made changes to our release and slides to streamline and enhance our communication. And these changes are in alignment with investor and analyst feedback. In terms of metrics, to simplify, we are adopting the organic sales measure, which is defined as the impact of volume and mix plus price and excludes the impact of FX and any divestitures or acquisitions. As a reminder, the reconciliation of our sales measures can be found in the appendix of our slides and in our press release. I will now turn the discussion over to Brendan.
Brendan Foley: Good morning, everyone, and thank you for joining us. I'm pleased to report on our strong performance for the fourth quarter and fiscal year 2024, an important year for McCormick in which we built momentum and strengthened our leadership and differentiation returning to quality, volume-led growth. We invested in our core categories, drove improved unit and volume share trends, while also expanding our margins and delivering strong earnings growth. Our results demonstrate the success of our prioritized investments in the areas that we believe will drive the most value and set us up to continue to drive momentum for 2025 and beyond. McCormick remains a growth company. We have robust plans that leverage the demand for flavor and the strength of our brands. Our strategies have proven to be effective in driving growth and compounding that growth over the years. And I remain confident that we have the right leadership team in place and engaged employees globally to deliver on our near-term and long-term objectives with industry leading performance. This morning, I will begin my remarks with an overview of our fourth quarter focusing primarily on top line drivers. Next, I will highlight some areas of success and the areas that we continue to work on. Then I will briefly reflect on our full year performance and share our plans at a high level to continue to drive momentum in 2025. Next, I will review how McCormick is positioned relative to an evolving consumer landscape. Marcos will then go into more depth in the fourth quarter as well as 2024 fiscal year financial results and review our 2025 outlook. And finally, before your questions, I will have some closing comments. Turning now to our results on Slide 4. In the fourth quarter, total organic sales increased by 2%, reflecting volume and product mix growth of more than 2%, partially offset by pricing. Total volume improved sequentially for the fourth consecutive quarter despite a challenging environment. And this improvement in the fourth quarter was driven by our Consumer segment, where volume and product mix increased approximately 4% compared to the prior year. In Americas Consumer, we delivered meaningful sequential volume improvement leading to more than 5% volume growth year-over-year. This growth reflects continued focus on our core categories, investing in brand marketing, accelerating innovation and alignment with consumer trends, expanding distribution and price gap management plans. In EMEA, we continue to drive positive volume growth across our major markets and core categories. We realized benefits from new product innovation as well as expanded distribution. In Asia Pacific, our results were impacted by China as the environment in this market remains challenged. Looking forward, we expect a slight and gradual recovery in 2025 relative to the prior year. Marcos will discuss this when he covers our outlook for 2025. Moving to Flavor Solutions, volumes were flat for the Global segment. Volume performance was primarily impacted by volume softness in our CPG and QSR customers' volumes. Sequentially, relative to third quarter volume growth, our results were impacted by the timing of customer activities. Let's move to Slide 5 and let me highlight for the quarter some of the key areas of success. In our Global Consumer segment, we successfully executed on our plans with increased investment and competitive focus towards driving growth across our core categories. In the Americas, across all categories, we drove unit, volume and dollar consumption growth. Notably, our unit and volume consumption outpaced both branded food peers and private label in the fourth quarter. In Global Spices and Seasonings, we drove solid unit volume and dollar consumption growth across key markets in the Americas, EMEA and Asia Pacific. In the US, we continue to improve on our competitiveness. Our volume consumption outpaced both branded competitors and private label for the quarter. Overall holiday performance was terrific. We saw high demand and sell out on our displays that feature core holiday items as well as new innovation. We had strong performance across the portfolio and our holiday limited time offer Finishing Sugars contributed to our share momentum and were incremental to the category. In Recipe Mixes, we continue to strengthen consumption trends in the Americas and EMEA driving overall share. In the US, our Cholula line remains a significant growth driver. We are innovating with Cholula Recipe Mixes, bringing new consumers to the category, particularly with millennials and younger families. In the UK, our new Short Seasonings and Recipe Mixes specifically designed for air fryers are performing well and driving strong consumption. In Mustard, we made great progress globally over the last three quarters and are pleased to see that our plans are driving great results. In the fourth quarter, we drove unit volume and dollar share gains in the Americas. In Poland, one of the top mustard consuming countries, our mustard consumption continues to grow and we are also realizing unit and dollar share gains. In Hot Sauce, we continue to have underlying strength in our base business and strong consumer loyalty. We drove positive unit volume and dollar growth in the fourth quarter, demonstrating that our plans are working. Sequentially, we drove significant improvement in dollar and unit share trends. This improvement was driven by distribution gains, increased brand marketing and innovation. We continue to make progress on total distribution points. We expanded TDPs across Spices and Seasonings, Recipe Mixes, Mustard and Hot Sauce in the Americas. In EMEA, we are also seeing distribution growth across markets in Spices and Seasonings and Condiments and Sauces. We are also gaining distribution in growing channels like discounters and e-commerce. Finally, in the Americas and EMEA, we drove double-digit consumption growth in e-commerce outpacing the market. E-commerce was a significant driver of our unit consumption growth for the quarter as consumers continue to see convenience. In Flavor Solutions, we saw strength in our technically insulated high margin product category Flavors and in Branded Foodservice. In Flavors in the Americas, we remain focused on being the partner of choice across four case competencies savory, heat, naturally sweet and citrus and fruit. These are areas of deep expertise and strength and where we are recognized as leaders within the Flavor industry. As a result of this continued focus, our performance with our high growth innovator customers remain strong and we outperformed the industry across most end categories. In Americas Branded Foodservice business, we drove volume growth and expanded distribution across Spices and Seasonings and Condiments, outperforming the industry. In addition, we are winning in Hot Sauce tabletop unit share and with innovation, new distribution, packaging and promotion. Let me now touch on some areas where we are seeing some pressure. As I mentioned earlier, in our Asia Pacific consumer business, the environment in China remains challenging. Consumer sentiment remains low and October-November distributor inventory buildup was below prior years due to the expected softer consumption. In Flavor Solutions, in both Americas and EMEA, some of our CPG customers experienced continued softness in volumes within their own businesses. And in EMEA, some of these customers were impacted by geopolitical boycotts in the region related to the Middle East conflict. This geopolitical impact may continue into 2025. In addition, QSR traffic remains soft in EMEA and in the Americas. We have seen this pressure impact our results for several quarters. It's difficult to predict QSR traffic. However, we are collaborating with our customers as they focus on improving their volumes through innovation and value and aligned with consumer trends. Now, I would like to reflect on our performance for the fiscal year on Slide 6. We successfully delivered on the goals we set and shared with you for 2024. We demonstrated our dedication to improving volumes. We refined our plans and prioritized our investments to drive impactful results and returned to differentiated and sustainable volume-led growth, the kind of growth that investors expect from McCormick. I am very proud of what we achieved and you should expect continued momentum in 2025. Our team remains focused on returning to our long-term growth algorithm, strengthening our profitability, continuing our strong cash flow, paying down our debt and reducing our leverage ratio, all have put McCormick in a position of strength to invest further with a sustained focus on growth. A few highlights for the year. On the top line, sales growth came in close to the high end of our guidance range as we expected. Importantly, we drove total positive volume growth for the year with the consumer business delivering 1% volume growth for 2024. We continue to invest in our business as well as drive margin expansion in line with our guidance. Importantly, we made significant progress in advancing our Flavor Solutions operating margins. Our growth for 2024 on the top line and the bottom line reinforces our confidence in achieving the 2028 targets we set out at our Investor Day as well as our long-term objectives. Our results demonstrate that our foundation is strong. We have proven and powerful brands and the results we are seeing from our refined and strengthened plans provide confidence in the effectiveness of our strategies and investments. We made significant progress this past year and we have plans to continue that momentum in 2025 and beyond. Let me now share our perspectives on consumer trends. Our portfolio's breadth and reach in Consumer and Flavor Solutions and our shared insights give us a strong understanding of consumers, flavor needs, preferences, behaviors and trends. We are continuously monitoring these trends across the globe and adapting our strategies accordingly. Demand for Flavor remains the foundation of our growth. Our business is differentiated. We do not compete for calories, we flavor them. Importantly, our opportunity continues to grow no matter where calories are shifting and the demand for flavor continues to have a long runway. Our products in the Consumer segment help flavor home cooked meals and in the Flavor Solutions segment, we are collaborating with many of our customers through reformulations and flavoring to meet the evolving consumer needs for healthy products, including snacks and beverages. Overall trends continue to evolve. Consumers remain challenged, particularly lower income consumers. While everyone continues to watch their spending, there appears to be some easing with mid and higher income cohorts. Yet, I'll still remain focused on maximizing value without compromising flavor. Demand for larger sizes remains elevated as they are seeking value. At the same time, there is increased demand for small or trial sizes, highlighting that flavor exploration remains important. Furthermore, consumers continue to cook at home and are increasingly shopping the perimeter for protein and produce. Healthier and better for you trends as well as a desire to stretch budgets are fueling this continued interest in cooking from scratch, reinforcing demand for flavor and for McCormick's categories. Spices and extracts remains the number one center store growth category. Lastly, our consumer centric mindset remains at the heart of everything that we do and we believe we have the right plans that are continually informed by what matters most to consumers and customers. As outlined on Slide 7, our growth plans remain consistent to drive growth through category management, brand marketing, new products, our proprietary technologies and our differentiated customer engagement. Our growth levers are supported and enhanced through data and analytics as we continue to accelerate our digital transformation. Our base business is strengthening across major markets and core categories. And we have a number of initiatives in flight that will continue to drive this performance and differentiation. Let me highlight a few areas that support and enable these growth plans. First, our decisions to optimize our portfolio over the years allows us to concentrate our focus on four global categories, Spices and Seasonings, Condiments and Sauces, Branded Foodservice and Flavors. We are intentionally focused on these categories as they are critical to driving our profitable sales growth and strengthening our flavor leadership. They drive the greatest value for McCormick and we are excited about our plans to continue to drive growth in each of them. Furthermore, consumer demand for Hot and Spicy is strong and remains a significant tailwind to our growth. We are uniquely positioned to win in Heat with our global iconic brands, deep consumer insights, meaningful scale, technology and expertise that we've been building for decades. Heat is a growth enabler in both of our segments and yet another reason to believe in our long-term objectives. Lastly, underpinning our long-term growth objectives is a unique system of advantages that work together to drive our industry leading growth. These advantages include the breadth and reach of our focused global portfolio, powerful leading brands, our Heat platform, unique consumer insights, global sourcing capabilities and our disciplined approach to acquisitions and integrations. Importantly, our power of people culture is at the foundation of it all. These advantages together with the execution of our strategies are critical to ensuring we deliver on our growth potential. Now over to Marcos.
Marcos Gabriel: Thank you, Brendan, and good morning, everyone. I'm pleased to be reporting on strong results for both the quarter and the year. Starting on Slide 9, our total organic sales grew 2% for the quarter. This increase was volume-led with more than 2% volume and product mix growth partially offset by pricing. We drove strong sequential volume improvement as you can see on the slide. Moving to our Consumer segment on slide 10. Organic sales increased 3% as volume growth of 4% was partially offset by 1% impact of price investments. Consumer organic sales in the Americas increased by 4%. This increase reflects 5% volume growth, partially offset by price investments of 1%. Volume growth was focused in our core categories and was driven by our investments in brand marketing, innovation and expanded distribution. Our investments are yielding positive results as seen in our improved consumption and we expect the momentum to continue into 2025. In EMEA, we grew consumer organic sales 3%, driven by a 5% increase from volume, partially offset by promotional pricing of 2%. The volume growth was broad based across product categories in our major markets. We're pleased with the strong sustained volume-led growth momentum in EMEA in 2024. Consumer organic sales in the APAC region declined 10%, driven by an 11% decrease in volume, partially offset by 1% contribution from price. This volume decline was primarily attributable to the macro environment in China. Turning to our Flavor Solutions segment on Slide 11. Fourth quarter organic sales increased 1%, driven by pricing. In the Americas, Flavor Solutions organic sales increased 1%, reflecting a 2% contribution from price, partially offset by a 1% decrease in volume, driven by softness in our CPG and QSR customers' volumes. This was partially offset by volume growth in flavors with high growth innovator customers as well as growth in the Branded Foodservice business. In EMEA, organic sales decreased by 4%, including a 2% decline from price and a 2% impact of lower volume and product mix, reflecting the impact of soft CPG and QSR customers' volumes. In the APAC region, Flavor Solutions organic sales increased 6% with volume growth of 7% driven by QSR customer promotions, limited time offers as well as new products, partially offset by pricing of 1%. As seen on Slide 12, gross profit margin expanded by 20 basis points in the fourth quarter versus the year ago period, driven primarily by the benefit from our comprehensive Continuous Improvement Program or CCI. For the year, gross margin expanded 90 basis points with incremental benefit from product mix and pricing. Selling, general and administrative expenses or SG&A increased relative to the fourth quarter of last year, driven primarily by increased technology costs that shifted from the third quarter as we expected. As a percentage of net sales, SG&A increased 80 basis points. For the fiscal year, SG&A increased 40 basis points relative to 2023, primarily due to increased brand marketing as planned. For the fourth quarter, adjusted operating income declined by 1% with minimal impact from currency. This decline was driven by the increased SG&A as expected. For the total company, we grew fiscal year adjusted operating income 4.5% with minimal impact from currency and drove adjusted operating margin expansion of 50 basis points with gross margin expansion more than offsetting the increase in SG&A expenses, including our planned increased investments in brand marketing. Our performance in 2024 reflects our commitment to increase our profit realization and positions us well to make continued investments to fuel top line growth. Our fourth quarter adjusted effective tax rate was 25.4% compared to 22.3% in the year ago period as expected. For the year, our adjusted tax rate was 20.5%, a decrease of 150 basis points from 2023, driven by a greater level of discrete tax benefits than in the prior year. Our income from unconsolidated operations in the fourth quarter declined 3%. As we mentioned on the last call, our results were impacted by the strengthening of the US dollar against the Mexican peso, which more than offset the strong performance in our largest joint venture McCormick de Mexico. The US to Mexican peso exchange rate was around 17% in the prior year compared to more than 20% in the fourth quarter, reflecting approximately an 18% fluctuation that impacted our reported results. For the fiscal year, unconsolidated income increased 32%, reflecting strong performance in McCormick de Mexico. We remain the market leader with our McCormick branded mayonnaise, marmalade and mustard product lines in Mexico and the underlying business continues to perform well and has contributed meaningfully to our net income and operating cash flow results this past year. Turning to our segment operational results on slide 13, adjusted operating income in the Consumer segment decreased 3% with minimal impact from currency. The decrease was primarily due to pricing and increased SG&A costs, partially offset by cost savings generated by our CCI program. 2024 was a year of investments. And as such, adjusted operating income in the consumer segment rose 1%, while adjusted operating margin declined 10 basis points as we invested to drive top line volume-led growth. We are well positioned to continue this volume-led growth trajectory with strong margins. In Flavor Solutions, adjusted operating income increased 5% or 7% in constant currency, driven by product mix, pricing and cost savings, partially offset by increased SG&A costs. For the fiscal year, our Flavor Solutions operating income grew 14% and operating margin expanded 140 basis points reflecting our continued focus on storing Flavor Solutions profitability. At the bottom line, as shown on Slide 14, fourth quarter 2024 adjusted earnings per share was $0.80 as compared to $0.85 for the year ago period. This decrease was primarily due to the unfavorable tax rate as well as the increase in SG&A that I mentioned earlier. For the year, we delivered adjusted earnings per share of $2.95, which represents a 9% increase over 2023 and above the high end of our guidance range. On Slide 15, we've summarized highlights for cash flow and the year-end balance sheet. Our cash flow from operations in 2024 was $922 million compared to $1.2 billion in 2023. The benefit from the increase in earnings year-over-year was more than offset by the impact of cash used for working capital, primarily inventories driven by strategic buying decisions, increased incentive compensation payments and timing of cash tax payments. We returned $451 million of cash to our shareholders through dividends and used $275 million for capital expenditures. As a reminder, capital expenditures include projects to increase capacity and capabilities to meet growing demand, advance our digital transformation and optimize our cost structure. Our priority remains to have a balanced use of cash. This means funding investments to drive growth, returning a significant portion of cash to our shareholders through dividends and maintaining a strong balance sheet. We remain committed to a strong investment grade rating. With another year of strong cash flow driven by profit and working capital initiatives, we successfully reduced our leverage ratio to below three times in 2024 and improved our cash conversion cycle by 10% as compared to the prior year. In 2025, we expect to continue to deliver strong cash flow driven by profit and working capital initiatives. Overall, our results for 2024 were consistent and in line with our guidance and reflect the success of our strategies and focus investments in the areas that drive the greatest value. Now turning to our 2025 financial outlook on Slide 16. Our outlook continues to reflect our prioritized investments in key categories to strengthen volume trends and drive long-term profitable growth, while appreciating the uncertainty of the consumer and macro environment. In addition, this outlook is in line with expectations we laid out at our Investor Day in October and reinforces our confidence in our 2028 targets as well as our long-term objectives. Turning to the details. First, currency rates are expected to have a one point negative impact on both net sales and adjusted operating income and two points on adjusted earnings per share. At the top line, we expect organic net sales growth to range between 1% and 3% and our growth to be volume-led with minimal pricing. In China, our food away-from-home business, which is included in the APAC consumer, continues to be impacted by slower demand. As a result, our outlook assumes a gradual recovery and we expect China consumer sales to improve slightly year-over-year. While we recognize there has been weak demand, we continue to believe in the long-term growth opportunity of the China business. Our 2025 gross margin is projected to range between 50 to 100 basis points higher than 2024. This gross margin expansion reflects favorable impacts from product mix and cost savings from our CCI program, partially offset by the anticipated impact of a low single-digit increase in cost inflation. In addition to our gross margin expansion, we expect SG&A benefits from cost savings to be partially offset by investments to drive volume growth, including brand marketing. For the year, we expect our brand marketing spend to increase in the high single-digits, reflecting a double-digit increase, partially offset by anticipated CCI savings. As a result, our adjusted operating income is expected to grow 4% to 6% in constant currency, a balanced outlook that gives us the flexibility to continue to invest in the business while expanding margins in line with our 2028 objectives. In terms of tax, we expect our tax rate to be approximately 22% for the year compared to 20.5% in 2024, where we benefited from a number of discrete tax items that are not expected to repeat in 2025. We expect our income from unconsolidated operations to decline in the mid-teens range in 2025, reflecting the strengthening of the US dollar against the Mexican peso, which is impacting the results of our largest joint venture, McCormick de Mexico. Excluding this currency headwind, McCormick de Mexico continues to deliver a strong performance. To summarize, our 2025 adjusted earnings per share projection of $3.03 to $3.08 on a reported dollar basis reflects currency headwinds and the impact of the increased tax rate relative to the prior year. On a constant currency basis, adjusted EPS is expected to grow between 5% and 7%. As we head into 2025, let me summarize some of the puts and takes to consider related to our performance. We expect to continue to deliver total volume growth across both segments. Gross margin expansion for the first quarter is expected to be modest relative to the prior year, primarily due to price gap management investments that were mostly in place since the second quarter of 2024. We expect gross margin to build over the year, consistent with historical trends. We anticipate our SG&A will be impacted by a consistent increase in brand marketing every quarter in line with our full year guidance. In addition, our stock-based compensation expense will shift from the second quarter to the first quarter, impacting comparisons to the prior year. Our adjusted operating profit will be impacted by this shift in timing causing the first quarter to be flat or slightly down relative to the prior year. However, this will be more than offset by operating profit growth in the second quarter and we expect our profitability to build throughout the year. As Brendan noted, we continue to prioritize our investments to drive impactful results. Our continuation of volume-led growth underscores that we are moving in the right direction and we remain confident in the underlying fundamentals of our business and delivering on our 2025 financial outlook, near-term and long-term objectives.
Brendan Foley: Thank you, Marcos. Before moving to Q&A, I would like to close with our key takeaways on Slide 17. The long-term trends that fuel our categories, consumer interest in healthy flavorful cooking, heat, flavor exploration and trusted brands continue to be strong. And importantly, consumer interest in cooking remains elevated. We are pleased with our results for the quarter and for the year. These results demonstrate that we are investing in the areas that drive the most value and reinforces our confidence in our plans and long-term objectives. We continue to execute on our strategic roadmap with speed and agility and in alignment with consumer trends, further capitalizing on our attractive categories across segments and driving category leadership. Our plans are yielding strong results and we expect the momentum to continue into 2025. We also continue to expand margins and manage our costs as we are investing in the business. These improvements are led by our favorable product mix and cost savings programs. Our performance, coupled with our growth plans, gives us confidence in achieving our near and long-term objectives. We believe the execution of our growth plans will be a win for consumers, customers, our categories and McCormick which will continue to differentiate and strengthen our leadership. Finally, I want to recognize all McCormick employees for their dedication and contributions, particularly as we navigate this complex environment and reiterate my confidence that together, we will continue to drive differentiated results and shareholder value. Now for your questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question has come from the line of Andrew Lazar with Barclays. Please proceed with your questions.
Andrew Lazar: Great. Thanks so much. Good morning, everybody.
Brendan Foley: Good morning.
Marcos Gabriel: Good morning, Andrew.
Andrew Lazar: I guess to start off, Brendan, consumer organic sales came in almost 2.5% well ahead of what the Street was anticipating. And within that volume growth of 4% was obviously quite strong even despite the weakness in China, particularly in the context, I guess, of the broader packaged food environment. So I guess to what do you attribute this strength and I guess more importantly, how do you see this momentum continuing into fiscal '25?
Brendan Foley: Thank you, Andrew. Well, just to kind of lead off, we believe we're really well positioned to win in an evolving environment. And I think you saw, obviously, some of that come through in our performance in the fourth quarter, even leading up through up to the fourth quarter, I think, year-to-date. So we've been delivering on our plans and our guidance for the year and essentially accomplishing what we said we would do. So specifically from a consumer perspective, just looking at it, we're really pleased with the performance of the portfolio in the fourth quarter. The performance was pretty strong. Global volume growth was around 4%. But importantly like in the Americas, we saw about 5% volume mix growth and a strong acceleration from the third quarter to the fourth quarter and we saw very consistent strong performance in EMEA at about 5%. So we're seeing volume growth in our core categories. I think a way to think about it is leading up to the fourth quarter, there are a lot of very healthy things in place, which were increased investments across our business, increase in brand marketing, we've had increased innovation, a lot of the new products that we're launching are meaningful to our performance, expanded distribution, and then we also implemented price gap management, too. So all those were things kind of in the phase kind of leading up to the fourth quarter, which were all quite positive in providing and supporting already what was emerging as a really strong healthy volume growth. I think on top of that, what was different in the fourth quarter in which sort of accelerated that performance was just a great holiday season execution. It's one of the best I've seen us execute and we're really, really happy with the way that unfolded. We also had very successful limited time offering in these finishing sugars. I mean at shelf that was like a 90% sell-through. It just really flew off the shelf. So we had really good performance off of that. We are also running a brand-new marketing campaign supporting broadly the umbrella of McCormick and especially in the holidays and we think that campaign is a refresh of what we had been running and it's really performing quite well. And I would also add on top of that, we're growing faster in unmeasured channels like e-commerce. It's just sort of great execution beyond just grocery and mass. So overall, we saw that 5% increase in volume also translates to 5% consumption growth. So it was in line with shipments. So we think it was a really pretty healthy quarter. As we look beyond the fourth quarter and into 2025, I would -- as we said in Investor Day, continue to increase in our brand marketing investment. We get great ROIs on that. We get great performance. We'll continue to sort of lean into more brand management investments. Continued increase in innovation. So as we look ahead, we'll have strong performance on the items that we launched in '24, but there will also have more launching in '25. We'll also have continued focus on renovation. We spent some time talking about this at Investor Day, but we'll have the new package for our grilling line fully on shelf by the time the grilling season starts. And we have the gourmet launch sometime in the second half, which is a relaunch of just product packaging and graphics, and so that will be exciting. And the existing price gap management plans will remain in place. So that's part of our base as we move forward. We'll share more details at CAGNY, but we do feel reasonably pretty good about, I think the performance in the fourth quarter around our consumer business globally.
Andrew Lazar: Thanks for that. And then just briefly, Marcos, no surprise that fiscal '25 is another reinvestment year as you all highlighted at your Analyst Day last fall. I was hoping you could talk a bit more about where this investment is targeted and then how this all plays into your broader guidance for the year? Thanks so much.
Marcos Gabriel: Yes. So, Andrew, so we are expecting that we'll continue to make investments on technology. We talked about technology being one of the levers that shifted from Q3 into Q4 and you saw that SG&A was impacted in Q4 by that. But if you look at SG&A for the full year was up 40 basis points and that was primarily driven by brand marketing and a little bit of technology. But that technology in Q4 will continue to be a line item in 2025. We're stepping up investments there. We continue to drive our ERP implementation program plus also the new generation of capabilities, I would say, AI, things like that and machine learning capabilities. We are building a new data analytics hub across the organization. So we are stepping up the investments in technology. And I believe that over time, we'll continue to drive CCI and productivity savings for the company.
Andrew Lazar: Thank you.
Operator: Our next question has come from the line of Peter Galbo with Bank of America. Please proceed with your questions.
Peter Galbo: Hey, guys. Good morning. Thanks for the question.
Brendan Foley: Good morning.
Marcos Gabriel: Good morning.
Peter Galbo: Good morning. If I could just follow-up actually on Andrew's question around kind of organic sales and the acceleration that you saw in the fourth quarter and was expected for '25. Maybe just two things, Brendan. One, I think when we talked at Investor Day, we were looking more for like a 2% to 3% on organic sales for '25 as an initial. And now the range has moved slightly below that. So just curious kind of what transpired or what's changed from an organic sales standpoint? And the second is, obviously, that range would also imply a deceleration versus the fourth quarter. So just it seems like you have great momentum coming out of 4Q and the comps aren't incredibly difficult. So just curious kind of where the maybe there's some conservatism in there, but just where the range has moved would be helpful. Thanks.
Brendan Foley: Yes, Peter, we have to provide some perspective around the guidance specifically on net sales. We're exiting 2024 with a strong performance and good momentum like you called out. And it does set us up for even good stronger performance in 2025. I think from a top line perspective, this guide reflects the volume-driven plan around our business. And it's really on algorithm, if you will, from a volume perspective. It's somewhat like we called out at Investor Day. So it does call for meaningful volume improvement year-over-year and there's very little, if any, price in the aggregate. We are building off a stronger base of performance, let's say, compared to '23. And there's balanced growth between, let's say, both the Consumer business and the Flavor Solutions business. We also believe this guidance reflects just the context in the evolving marketplace. I think I'd kind of maybe speak to two points. What frames our range on the low end is China from a consumer perspective. We're still seeing weak consumer confidence there and we expect sort of slight to the gradual recovery there. It's also the weakness when I think about Flavor Solutions, it's the weakness that we're seeing in QSR channels, particularly in EMEA. What frames the high end, though, is the strength in consumer volumes in the Americas and EMEA. I think overall, this -- our outlook is strengthening from what we said in 2024. It reflects kind of a prudent view of a changing marketplace. It's consistent with what we said at Investor Day and nothing's really changed in our thinking since then. It's all quite consistent as we look at how we are thinking about 2025 back then in October and how we're thinking about it today.
Peter Galbo: That's helpful. Thanks for framing that Brendan. And maybe just to follow-up, the less talked about outside of Americas consumer. Just your perspective, US Foodservice, it seems like maybe we're setting up for a bit better year in '25. EMEA as well, you talked about the weakness on QSR, but just the EMEA consumer business has been delivering strong as well. So just how you're thinking about Europe in '25? Thanks very much.
Brendan Foley: Yes. I think, well, we're certainly, we saw a lot of strength in 2024 out of EMEA from our consumer business. It certainly offset what was weakness in Flavor Solutions. I think our view is we still see continued strength in our Consumer segment there in the market. The plans are strong. Similar points to what I said in just sort of the fourth quarter, those continue as we go into '25. On the Flavor Solution side of the business, we see a sort of a gradual strengthening of where we are there. But we have to kind of call out right now. It is certainly volumes. So that's where we're seeing life today. But I think as we look towards the year, improvement overall in our performance in that part of the world from a Flavor Solutions perspective. From a, let's say, CPG customer to a QSR customer, we think the strength will come in certainly from a CPG, it will start to build. There is one a couple of still issues geopolitically happening within that part of the marketplace. So we're seeing that come through and some of not only the perspective that we're getting from our customers, but that is playing out a little bit. The Middle East conflict is starting to affect not just the QSR side of the business, but CPG. However, we still see improved performance versus '24 on the Flavor Solutions side.
Peter Galbo: Thank you.
Operator: Thank you. Our next question has come from the line of Alexia Howard with Bernstein. Please proceed with your questions.
Alexia Howard: Good morning, everyone.
Marcos Gabriel: Good morning
Brendan Foley: Good morning, Alexia.
Alexia Howard: So first of all, can I ask about the pivot that you're doing in the Flavor Solutions segment into these new faster growth innovative customers? I know you started that maybe a year or two ago. How quickly is that happening? Are you able to share what proportion of sales those new customers represent and how that might develop over time? And then I have a follow-up.
Brendan Foley: Sure. Happy to provide some perspective around that. We're not going to necessarily speak to sort of how the whole portfolio breaks down. But despite what we're seeing in terms of just sort of overall flattish volumes that you saw in the fourth quarter, broadly, we do see just faster performance. And to give you some context, just these tend to be as we describe them as sort of higher growth innovator sort of customers. But it's happening in categories like bars and granola, crackers, soups and broth, beverage, whether it's with alcohol, without alcohol, or even just sort of performance nutrition. We continue to see strength in a number of these sort of end categories, if you will, up against those taste competencies that we called out at Investor Day. So these are customers that we continue to seek and acquire and we believe that as we go into '25, we continue to really drive growth across this business, not only as volumes improve, but also as we gain share in the marketplace overall. So if I were to think about like what that added context might be, given the spirit of your question, that's probably, I think, the context of this, think about it from an end market category perspective, we're just seeing a little bit faster growth in these areas. So just to add and food away from home, when you think about Branded Foodservice, we're still seeing -- we had a very healthy year in 2024 around that part of our business. And we expect that to also that contributes to it, Alexia, is our performance in Branded Foodservice too. And we expect traffic to incrementally get better, but we're gaining share and we're just driving a lot more activity with our customer base. There has been pretty healthy growth.
Alexia Howard: Perfect. And as a follow-up and this is another broader-based question. If we see a number of food additives like Red No. 3 or some of the others eliminated from the generally recognized as safe designation and we see a round of reformulation across the broader industry. How do you position yourself to best tap into that on the Flavor Solutions side to be part of that cycle if it plays out? Thank you and I'll pass it on.
Brendan Foley: Sure. We see ourselves as actively in that going on right now today. The way we sort of have an opportunity to sort of play into those changes that may or may not occur, as you talked about changes in food regulation or just sort of a push towards healthier eating. We actively play a part right now with the customer base that we have today in terms of working on reformulations and product improvements. I believe that this is where innovation really drives the industry. It has for decades and will continue to moving forward. And so we believe reports pretty well to be able to work with our customers on making any product formulation changes that they would like to make. This could be the removal of artificial colors, sodium reduction, just increasing in clean ingredients. These are areas that we have been working on well up and prior to 2025. So we're quite confident that we'll participate in that.
Alexia Howard: Great. Thank you very much. I'll pass it on.
Operator: Thank you. Our next question has come from the line of Robert Moskow with TD Cowen. Please proceed with your questions.
Robert Moskow: Hi. Thanks for the question. Actually, I have a couple. I want to know if I could hone in a little bit more on the guidance range of 1% to 3%. You mentioned that the low end factors in weakness in China. And I wanted to know, could you be more specific about your expectations in China? With the low end of the range, the 1% entailed China getting worse or are you not that specific on what the 1% means? And then I had a quick follow-up.
Brendan Foley: I think our characterization in terms of what starts to sort of provide context around where that loan might be is thinking about at times China has not met expectations, right? We certainly saw that in '23 and then we saw it again in '24. And so I think what we're doing is we're kind of factoring that into our thinking, Bob. And as China, we do expect it to get sort of that slight and gradual improvement. And in fact, Marcos and I were there, actually just in the first week of January, spending time with our leaders in that business looking over just the changes in the marketplace as well as what are the growth plans for the year and what expectations should we have? So I think we're seeing a level of prudence from us just in terms of how to think about China. And I think that's kind of the context I would say that sort of provides that low end context. Obviously juxtaposed against what I framed is sort of what's driving the high end.
Marcos Gabriel: Yes. Rob, this is a dynamic environment. We wanted to be balanced in our call right now, not only in terms of top line, but also in terms of from an OP perspective and EPS as you saw in the guide. So we wanted to really be, I mean, I think it is a positive guide, but also it's balanced given the environment that we are in.
Robert Moskow: Okay. And the follow-up, in fourth quarter, the flow-through to operating income wasn't quite as strong as we and I think the Street had expected. And you talked about some really strong volumes in consumer. It looked really great. And my perception is that consumer is higher gross margin than Flavor Solutions or just higher margin. So can you explain -- was your operating income in fourth quarter in line with your expectations or was there a little more incremental spending on distribution, which you mentioned in your press release or the tax spending? Thanks.
Marcos Gabriel: No, Rob. I mean it was pretty much in line with our expectations. I mean, how we came in, in Q4. I mean, we talked about in the last call that we were going to be shifting some of the expenses primarily related to technology and R&D from Q3 into Q4. So that's what you've seen in the P&L for this quarter an impact from SG&A primarily and that is what is kind of taking us down to a negative OP, slightly negative OP. But as you think about it from the SG&A perspective, on a full year basis, it's in line as well with our expectations, 40 basis points incremental year-on-year on the back of A&P, continued technology investments, as I mentioned before. And the step-up in technology will continue into 2025.
Robert Moskow: Okay, great. Thank you.
Operator: Thank you. Our next question has come from the line of Rob Dickerson with Jefferies. Please proceed with your questions.
Robert Dickerson: Great. Thanks so much. I guess just in terms of pricing and the commentary that you gave maybe around Q1 as you continue to look to manage price gaps. I guess my question is kind of like how much more, I guess, do you think you need to actually manage price gaps? Like when you talked about investment, where you're talking about technology investment, kind of brand building in general, a lot of different investments. If we focus just on price, do you feel like there's actually that much more price investment that needs to come through in Q1? And then maybe any perspective on kind of how that flows through for the year? And I just ask given especially Consumer Americas volumes were fairly strong in Q4. And I'm not sure if that's Q4 specific because of some of the holiday products you had in the marketplace or if volumes continue like kind of why do you need to continue to invest in price gaps? Thanks.
Brendan Foley: Yes. Rob, on price, I think there's really kind of two points maybe there to address in your question. As we think about price and we called out, we're still going to be overlapping the beginning of those investments in Q1. That's consistent. That level of investment is consistent with what we were doing previously like Q2, Q3 sort of year-to-date. So as we go into Q1, we're not seeing a step-up in that. We're seeing sort of a maintenance of it, if you will, as we go into Q1. And the way I would ask you to think about it over the balance of the year is maintaining that investment in our baseline, if you will, of how we think about supporting our brands and supporting the volume growth that we've been driving. So price gap management, as we have a plan for right now in '25 is a continuation of how we applied it in '24. Of course, throughout the year, we just don't sort of set those numbers and leave them and never look at them. We're constantly evaluating how they're performing. So we have sort of surgical review of how -- what's the return that we're getting, how they're applied. But I think from a macro standpoint, you should think about that as a continuation of what we did in '24. You mentioned a little bit about sort of the performance in the fourth quarter and its strength. Let's also remember, the fourth quarter is our biggest quarter of the year in terms of consumption. And I think what you saw was just obviously, really strong execution, a pickup from consumers in terms of more scratch cooking, the holiday season. The holiday season was a bit compressed, but it didn't seem to hurt us in any way. And we had really overall pretty good performance, but there's just a little other points of context I would add as you think through the profile of our performance.
Robert Dickerson: Okay. Great. And then maybe just kind of more broadly speaking, as we think of your portfolio, at least on the consumer side, it does seem as if, let's say, at least through the back half of last year, right, that kind of more meal-related items seem to be doing a little bit better, right, like perimeter to the store, whether it's chicken pasta, et cetera, versus maybe some more incremental pressure or ongoing pressure and some more discretionary items. Kind of my guess is there is still some benefit, right, from those meal-related items, that's something you've been talking about for years, right? Consumers trading from scratch and at home and heard all through COVID. And I'm just kind of curious kind of what the updated perspective is on some momentum, let's say, on the perimeter and some of these new related items and then clearly how that would benefit, again, your Consumer Americas business. That's all I have. Thank you.
Brendan Foley: Rob, I think there was a little bit there where you may have cut out, but I think I got your question and that was more of, so what's that our outlook on sort of the Consumer in 2025. I would say our outlook on the consumer environment hasn't changed significantly, but that doesn't mean it's boring. There's a lot going on right there. And I think a lot of it does really position us well to win in this evolving environment. The demand for flavor is pretty strong. As we've said before, others compete with the calories, we flavor them. And we are seeing continuation of cooking at home and a focus on healthier eating. And we believe that, obviously, this positions our portfolio well to perform well in an environment like this. We believe that value is going to remain important for consumers. As you saw in some of my prepared remarks, it's still that lower income consumer. It still remains quite challenged overall. And they're looking for value and affordability and not just in the United States. They're looking for it in Europe, they're looking for it in Asia. And so these are things that we believe are kind of globally consistent themes that we're seeing and influence our plans and the way we think about our portfolio overall. So that's our context with the consumer. Going into 2025, I would say, remaining focused on driving towards healthy eating, when we see people go to the perimeter to buy more product, to buy more protein, we think they're doing it for two reasons. They're doing it because they're looking to obviously save money, stretch their budgets. But also there's a bias towards easing healthier.
Robert Dickerson: All right, super. Thank you.
Operator: Thank you. Our next question has come from the line of Ken Goldman with JPMorgan. Please proceed with your questions.
Kenneth Goldman: Hi. Thank you. I was hoping for a little bit of color on your outlook for margin expansion growth between the two segments. This past year, 2024, consumer was flattish. Obviously, Flavor Solutions had a great performance in terms of margin growth. Are you expecting maybe not the same magnitude, but sort of directional similarity, just given some of the pressure that consumer might feel from higher ad spending, maybe a little bit more promotion. Just wanted to get a sense for how you would like us to kind of think about that progression from here.
Marcos Gabriel: Yes, sure, Ken. So first of all, I mean, we're very pleased with the gross margin expansion we had in 2024. I mean it was 90 basis points at the high end of our guidance range. And we have really good reasons to believe that this will continue into 2025. So our call is for 50 to 100 basis points into 2025 as well. A couple of items there. I would say that is driving these expectations for us. Obviously, CCI and our productivity savings that we have in place right now is working very well for us. I mentioned technology before. Technology will also help drive more savings in the future years. The usage of Global Business Services Organization will continue to tap on that simplifying process is standardizing the way that we do work, all of those things will help us drive more savings going into the future years. And then mix, portfolio mix is a big lever, particularly within Flavor Solutions. As we continue to shift our portfolio to high-margin categories, such as Flavors, Branded Food service, those categories drive higher margins. So if you think about it between the two segments, I would expect more gross margin coming from the Flavor Solutions segment versus the Consumer segment. That is also in line with our strategy of continuing to drive profitability at the bottom line for Flavor Solutions. As you saw, we've improved our operating margin by 140 basis points in 2024. And we have a commitment to get back to 14.5% by 2028. So that was a very important progress that we made now two years in a row on Flavor Solutions. So that is the whole idea about our guide in terms of gross margin as well as operating margin.
Kenneth Goldman: Okay. Thank you.
Operator: Thank you. Our next questions come from the line of Max Gumport with BNP Paribas. Please proceed with your questions.
Max Gumport: Thanks for the question. In the US specifically, your consumer segment is posting strong volumes, but you called out that your CPG Customers and Flavor Solutions have soft volumes, which we can clearly see in Nielsen data as well. So I'm just curious for your color on what's driving that dichotomy? Thanks very much.
Brendan Foley: Well, as you know, Max, we compete within segments that are sort of very focused around herbs, spices and seasonings, and condiments and sauces. And I think when we think about our portfolio compared to the rest of food and beverage within the United States, I think we first have to start there. And these categories have healthy growth. And so we benefit from that. But also I believe that we jumped on execution quite early in 2024. If you think about maybe my remarks back at the beginning, at this time last year, I said that it was our goal to move fast and really meet the consumer with where they were or where they are today. And that was a real intentional focus on our part from standpoint of being competitive and executing quickly in the marketplace. So I think we've also benefited from that. Some of the categories in which we compete, large ones like condiments and sauces, we're competing in what we believe are some of the faster-growing versions of condiments and sauces like heat as one example. When you take a category like mustard, we're grilling it, because we're making mustard important to consumers. By the way, a very sort of healthy profile when you think about that condiment. So I think there's a number of indicators here that give us a little bit of sort of an improved profile and it's a combination of both our execution and our commitment to drive the volume, but also we're operating in relatively healthy categories. And the consumer environment right now, certainly, as it always has continues to favor the categories we play in.
Max Gumport: Thanks. And then Marcos, there is the comment about cash flow in '24 being impacted by decisions to increase inventory. I think there are strategic buying decisions. Can you just provide more color on what those were and how we should think about those in FY'25. I'll leave it there. Thanks very much.
Marcos Gabriel: Sure. I mean the cash flow continues to be a very positive outcome for us this year, continues to drive a lot of cash this company, $922 million in 2024. We made some and this is business as usual for us. We make decisions about for buying some of the commodities for us at times. So oftentimes we make those decisions to bring inventory to protect service and to drive supply chain be available for supply chain, but also to lock in some favorable cost. And so we do take those decisions oftentimes. Difficult to predict what's going to happen in 2025, but this is part of our playbook in terms of how we manage all the input costs and the components across the globe within our procurement organization. They have a very data-driven analysis and the methodology that they use and we leverage a lot of that to make those decisions.
Max Gumport: Great. Thanks very much.
Brendan Foley: Thank you.
Operator: Thank you. Our next question has come from the line of Stephen Powers with Deutsche Bank. Please proceed with your questions.
Stephen Powers: Great. Hey, thanks. Just one question for me, but maybe you both want to weigh in on it. Maybe the part for Marcos is just on your brand marketing plans for the year. It sounded like the rates of increase year-over-year was going to be pretty even throughout the year. Just wanted to play that back and validate. And if that's not correct, if you could give us a little sense of the cadence of increase. And then, Brendan, the other part of that is just kind of the where that money is going to go? And is it -- should we think about it? Is it just more spending in the same direction or does the makeup of brand marketing and the focus of that marketing shift at all in '25 versus what we've seen looking backwards. Thank you.
Marcos Gabriel: Sure. So, Steve, the first part of the question is, yes. I mean the answer is yes. I mean, we're going to be spending similarly to 2024 levels on A&P, high single-digits, and it's going to be across all quarters. So pretty much even across all quarters, leading to the high single-digit, which is the same as we saw in 2024.
Brendan Foley: Steve, from a perspective of how we're spending that money, where we see obviously driving strong returns. I think it serves two perspectives on that. If you think about the vehicles that we go into and you think about the presentation that we shared at Investor Day, those are the vehicles in which we're going into. So it's not that we see a dramatic change in exactly sort of how we're spending it, but you see that we're getting even greater penetration and reach as we add more dollars to support the investment behind our brands. I would also say, we also look strategically across the portfolio and decide to increase spend levels on one brand versus another. If you think about this idea of driving resources and focus where we get the strongest return, that also drives our thinking about that allocation of A&P. So as we said, for example, in the beginning of '24, we are going to add a lot more media coverage and more 12-month coverage on a brand like Frank's RedHot and we've seen good performance off of that. And so that's in our baseline and we'll continue to build on it. There are other brands which we are going to start to flex even more A&P spend into. So this is the mindset that we use. But I think the review that Tabitha gave at Investor Day, I think, is a good illustration of where we tend to spend the money, but it's also -- we're sort of starting to place increased spend on certain other brands.
Stephen Powers: Great. Thank you very much.
Brendan Foley: You're welcome.
Operator: Thank you. Our final question will come from the line of Tom Palmer with Citi. Please proceed with your questions.
Thomas Palmer: Good morning and thanks for squeezing me in. I wanted to, I guess, first ask on just the cadence of earnings relative to the annual growth ranges for organic sales growth and operating profit growth. Should we be thinking about starting off the year within these annual guidance ranges and sustaining it or is there some builds to be thinking about? Thanks.
Brendan Foley: So in terms of top line, we'll continue to drive top line momentum from 2024 into 2025. You'll see volume growth across both segments in Q1, and that should continue through Q4. So that's our expectations into this year. In terms of profit, I mean, in my prepared remarks, I mentioned a little bit of a shift in between Q1 and Q2. So you will see an operating profit that is in Q1 that is slightly down to flattish, I would say, given the pricing that we're lapping from prior year, but also stock com -- shift compensation shift from Q2 into Q1 now for our new policy. So that's going to impact Q1, but it's going to be more than offset by the increase of OP in Q2. So and then you should see the similar trend going into the back half of the year. So I'd say top line consistent across all quarters, a little bit of shift in OP between Q1 and Q2. Gross margin line pretty much consistent and growing across from Q2 to Q4.
Thomas Palmer: Thanks for that color. And just on the JV income, I just wanted to clarify the currency versus underlying trends. If we were to exclude the currency headwind, would this business and kind of how you're thinking about 2025 still be growing?
Marcos Gabriel: Yes, I mean, the business is still growing. The business is very robust down in Mexico. Brendan and I are part of the Board of the JV and we monitor the performance on a very close and then on a quarterly basis. And I mean the business is a very good business. It drives a lot of volume. It drives a lot of profitability as well. What's impacting is really the FX. The FX, the strengthening of the of the dollar up against the Mexican peso. And I mentioned it, it's about 20% devaluation of the Mexican peso year-on-year from 17 to 20 Mexican peso to the dollar. That is really what's impacting is on the translation of those results back into us. But the underlying performance of the business is really, really strong right now.
Thomas Palmer: Great. Thank you.
Marcos Gabriel: Sure.
Operator: Thank you. We have reached the end of our question-and-answer session. I would now like to hand the call back over to Faten Freiha for closing remarks.
Faten Freiha: Thank you and thanks to all for joining today's call. If you have any further questions regarding today's information, please feel free to contact me. This concludes our call this morning.
Operator: Thank you. This does conclude today's teleconference. You may disconnect at this time.